Operator: Good morning and afternoon, ladies and gentlemen. Welcome to the OceanaGold 2021 Fourth Quarter Results Webcast and Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct the question-and-answer session. [Operator Instructions] Also note that the call is being recorded on Wednesday, February 23 at 5:30 p.m. Eastern Time. I would now like to turn the conference over to Sabina Srubiski. Please go ahead.
Sabina Srubiski: Thank you very much. Good evening and good morning. Welcome to OceanaGold's full year 2021 results webcast and conference call. I am Sabina Srubiski, Director of Investor Relations for OceanaGold. I am joined today by Scott Sullivan, Chief Operating Officer and Acting CEO; Scott McQueen, Chief Financial Officer; David Londono, Executive General Manager, Haile Operation; David Way, EGM, Philippines and New Zealand; and Sam Pazuki, Senior Vice President Corporate Development. Before we proceed, note that the references in this presentation adhere to international financial reporting standards, and all financial figures are denominated in U.S. dollars unless otherwise stated. Also, note that the presentation contains forward-looking statements which by their very nature are subject to some degree of uncertainty. There can be no assurances that our forward-looking statements will prove to be accurate as future results and events could differ materially. I refer you to the disclaimers on the forward-looking statements in our presentation. I will now turn it over to Scott Sullivan to walk you through the key highlights of the quarter. 
Scott Sullivan: Thank you, Sabina. Good evening. Good morning to all. It's a pleasure to be with you here today. We have a lot to cover today, so I'll get things going right away with Slide Number 3. Delivering consistently on our commitments underpin strategy to create long-lasting value for shareholders. Despite another year of uncertainty globally and significant changes made throughout the course of 2021 at OceanaGold, we delivered what I would consider to be a successful year. The fourth quarter of 2021 saw the return of positive free cash flow on the back of record goal production at Haile and a strong operating performance at Didipio, which recommends production in early November after more than two years of being in a state of operational readiness. Having a diversified portfolio played an important part in our performance during the quarter as the New Zealand operations underperformed against expectations for much of the year operationally and faced external factors, including government restrictions related to COVID-19. Subsequent to the quarter end, we announced the completion of the Haile Technical Review, and we'll cover some of the details of that work later in this webcast. Turning over to Slide Number 4, we pre-released our production and costs in January, and those figures are reflected here. We are pleased to have achieved our consolidated production and cost guidance that Hail and Didipio, both exceeding their respective production guidance. Consolidated gold production increased 20% over 2020 while our cash costs decreased 15% and all-in sustaining cost decreased 2%. I view our 2021 performance is a step in the right direction. We will look to build on this positive momentum going forward. I will now turn over the presentation to Scott McQueen to walk you through the financial results.
Scott McQueen: Thank you, Scott. And hello everyone. Over the next few slides, I will cover the key highlights of our 2021 financial results. As Scott just mentioned, our fourth quarter performance is driven mainly by strong quarters at both Haile and Didipio. And we're very pleased to have Didipio back operating, and we expect to continue to see the benefits that bring our portfolio as we ramp up the operation fully. Over the full year, revenue came in just a under $745 million, which was 4% shy of the company's record annual revenue, which we achieved in 2018. $745 million was also almost 50% above the previous year. The strong increase primarily driven by record production at Haile, and of course the restart of Didipio, which included the sale of the preexisting copper gold concentrate inventory on hand during the third quarter of the year. On the stronger revenue, full year EBITDA increased over 150% to just under $330 million. This result also reflected a 70% year-on-year increase in EBITDA margins, that despite to Didipio idle capacity charges and cost imposts associated with COVID-19 operational interruptions, especially in New Zealand. Adjusted net earnings came in at $141 million or $0.20 per share for the year, including $0.04 per share in the fourth quarter, which compared to analyst consensus of around $0.01 per share. On an unadjusted basis, the final net result was a loss of just under $4 million. This included the previously announced non-cash post-tax net impairment charge of approximately $102 million. This included a post-tax charge of $181 million in relation to the Haile operation, largely due to the updated life of mine cost and capital assumptions as per the technical study. This was partially offset by a post-tax impairment reversal of $79 million to fully restate the carrying value of Didipio. This recognizing the renewal of the FTAA and the successful restart and ramp up of operations across the fourth quarter. More details on the whole technical study findings will be covered by David later in the presentation. Operating cash flow for the year increased 32% on the stronger EBITDA. However, this was partly offset by material working capital movements, mainly associated with the gold presales, which were closed out in July 2021. At the end of the year, we had no hedging arrangements in place. Adjusted cash flow per share after working capital movements for the year was $0.40, including $0.13 in the fourth quarter, which compared to analyst consensus of approximately $0.08. Moving on to Slide 6 and our capital expenditure for the year. Consolidated capital expenditure of 2021 increased over 2020 as planned. This included higher capitalized waste stripping plus the build out of Haile’s mining infrastructure. The continued development of the Martha Underground Mine at Waihi which commenced continuous production in mid-2021 plus the development of Golden Point Underground at Macraes, which also achieved first production in the fourth quarter of 2021. In Q4, capital expenditure decreased quarter-on-quarter, mainly due to the lower capitalized waste stripping and a delay in commencing development at the Haile Underground. This was partially offset by an increase in general operating capital and exploration costs across the New Zealand operations. Overall, our 2021 capital program followed plan, in that we successfully expanded our exploration opportunities while bringing to production two new underground mines in New Zealand. We also have laid the foundation for a third new underground at Haile, which is planned to continue development in 2022. Moving on Slide 7 and the balance sheet. For the fourth quarter, pleasingly, we moved back into a positive net cash flow, where we saw our net cash position increased $20 million. As of the end of the year, our cash balance stood at $133 million while total available liquidity was $163 million. Net debt inclusive of equipment leases was approximately $238 million. We have a sound balance sheet, and we are positioned to deliver strong free cash flow over the next few years. This will allow us to pursue balanced capital allocation plan. One that allows us to fund investment in high margin value accretive growth opportunities, including the Haile Underground and WKP, Wharekirauponga, to reduce net debt and to provide distributions to shareholders. I will now turn the presentation back to Scott Sullivan to discuss our 2022 guidance and three-year outlook that underpins those plans.
Scott Sullivan: Thanks, Scott. Let's move on to Slide 9. So, two weeks ago, we were pleased to announce our 2022 guidance and three-year outlook. We view the future of this business as exciting with growing gold and copper production and increasing free cash flow generation. We have high margin growth projects that we're advancing while improving on our operational performance. In 2022, we expect gold production to increase between 25% to 35% over last year while cash costs are expected to be slightly lower and all-in sustaining costs slightly higher on an increased capitalized waste stripping. The increase in cost year-over-year is a reflection of inflationary pressure as an increased capitalized waste spend. Our increased gold production in 2022 is driven by Didipio, which we expect will deliver almost a full year's worth of gold and copper production at first quartile unit costs. We expect a rebound of the New Zealand operations as Martha Underground continues to ramp up and Macraes returns to steady state operations. These increases will help to offset a year-on-year decrease in production at Haile, which as we have previously flagged reduced 2022 output related to the delay in the SEIS Final Record of Decision affecting access to higher grade ore. Our capital investments this year and over the next few years is focused on opening new pits at Haile and Macraes, which is driving the higher capitalized waste stripping. Our growth investments are related to the Haile Underground continued development of Panel 2 at Didipio, ongoing development works at Golden Point Underground at Macraes and further development of Martha Underground at Waihi. We will continue to invest in drilling, particularly at Waihi where we are focused on resource conversion and resource model de-risking at Martha Underground and a significant increase of spend at WKP, where we are ramping up drilling activity to add even more value. Let's move on to Slide 10 and our three-year outlook. Over the next three years, we are expecting production growth at a compound annual growth rate of 15% from 2021 levels. Additionally, we'll see a step change in copper production as Didipio ramps up to full production, given metal prices today, it's a good time to be a copper producer and having that revenue stream in the business. Looking at 2024, our gold production is expected to significantly increase by 60% to 70% from 2021 levels driven by Haile. We do have a fair bit of capital to invest over the next few years related to capitalized stripping at Haile and Macraes growth. Capital investments are related to high value initiatives, such as the Haile Underground and Waihi North exploration. With increase in production, we expect unit cost to decrease and profit margins to improve. We expect free cash flow generation to be meaningly stronger over the next few years. This free cash flow generation positions the company well to deliver on its high margin growth plans, make discretionary debt repayments, excuse me, repayments and return capital to shareholders at the Board’s discretion. This is a key point we want to emphasize to the market. OceanaGold is returning to being a high free cash flow yielding company. Of course, this is the plan we have laid out and the one is on us to execute and deliver on these plans. I will now turn the presentation over to David Way to briefly walk you through the Philippines and New Zealand operations. Thank you, David.
David Way: Thank you, Scott. Good day, everyone. On Slide number 11, as we’ve heard already, it’s great to have the Didipio into the portfolio and ramping up ahead of expectations. We completed all maintenance and upgrade works in the third quarter and restarted the process plan with newer feeds in early November. In only two months of ramping up the operation, we produced about 15,000 ounces of gold and 1,700 tons of copper, very pleasing restarts operations. Underground mining continues to ramp up ahead of schedule. As we draw closer to achieving the 1.6 million tons per annum underground mining rate. We now expect to achieve this rate in the second quarter, and this is a major factor for why we believe we can deliver almost our annualized production potential. The process plant is currently running at its 3.5 million tons per annum rate and fed with a blend of lower grade stockpiles, which has progressively been offset by the higher-grade feed from underground. We have approximately 23 million tons of stockpiled or on surface, which we will continue to blend with underground ore for the duration of the mine life. The relationships with the community continue to remain strong and we are working well with local stakeholders from Didipio and neighboring communities to advance community development projects. We also continue to work closely with government officials in COVID-19 vaccine programs as vaccination rates continue to increase both amongst our workforce, but also throughout the local communities. We look forward to recommend an exploration next program at Didipio, which is designed to test at depth extensions, allowing us to expand the mine life, given the ore body at Didipio is open at depth. Moving to Slide number 12, we are expecting an operational rebound at Macraes for 2022, following a challenging 2021 that ended on a high note. The positive momentum we build up in December of last year has continued into this year with better mine productivities, increasing grades and better recoveries. In 2022, Macraes is expected to produce between 140,000 and 155,000 ounces of gold at an all-in sustaining cost of $1,300 to $1,400 per ounce sold and cash costs of $800 to $900 per ounce sold. The wider production guidance range reflects uncertainty related to potential COVID-19 restrictions production for the year is expected to be evenly distributed quarter-on-quarter. We have smoothed out the production profile at Macraes over the next three years and have accelerated mining of the phrases open pits as part of the optimized mine plan. This means we have also accelerated the capitalized waste stripping to open new zones that we will mine over the next three years. In the fourth quarter of 2021, we process first all from the Golden Point Underground, which was on schedule. We will continue to develop and expand Golden Point over course of this year and next, before we fully transition from phrases underground. Under the leadership of Mike Fischer and the team, the craze is expected to be the steady operation it has typically been, and we will continue to seek out opportunities to grow margins and extend mine life beyond 2028. Moving on to Slide number 13 and Waihi, the ramp up of mining rates at Martha Underground continue to increase, and our guidance reflects increasing gold production. Although, we fell short of our guidance range in 2021, we do expect to double production this year and achieve steady state production of 90,000 to 100,000 ounces of gold on average per year from Martha Underground, starting in 2023. For the full year 2022, production at Waihi is expected to be stronger in the second half of the year than in the first half. With the fourth quarter expected to be the strongest quarter of production at a lower corresponding, all-in sustaining cost. We achieve steady state underground development rates in the first quarter of last year and have since modestly increase these rates over the course of 2021. We are looking at ways to further increase underground development rates as we bring additional stocks online. At steady state, we expect to be mining 15 to 25 states a month, depending on where we are in the mine sequence. Our ability to increase the number of states brought online and increase development will be enabled by the recently installed primary event banks. We are also increasing the amount of resource definition drilling to address the continued negative reconciliation that has impacted us since the beginning of the fourth quarter of 2021. This drilling is focused on increasing our confidence in the resource model in areas that are under drilled and to convert inferred resources to indicated. Our guidance includes only indicated resources. Preparation for the lodgement of a consent application for the Waihi North project, inclusive of the Wharekirauponga underground mine continue to progress with environmental assessments nearing completion. Over the next few months, we will continue engagement a broader group of stakeholders as part of that consenting process. We expect to lodge our formal consenting application to both the regional and district councils, inclusive of stakeholder feedback in the first half of 2022. The councils will review the application, invite public feedback, and then refer the application to the environment court. After receipt, the environment court will oversee preparation for a hearing on the application, which we would expect to be held by mid-2023. For this year, we are expecting to increase the investment and exploration, particularly at Wharekirauponga. Last year, we managed to drill less than 5,000 meters as drilling productivity was impacted by the two-week lockdown in August and a prolonged seasonal drought area. The drilling we completed last year at Wharekirauponga focused mainly on resource conversion of East Graben Vein with a step out hole testing in the extension of the East Graben structure along strike to the Southwest. We extended mineralization of the East Graben Vein by 20%, and it remains open in multiple directions. We are looking to permit a third drill rig to focus on extensional drilling at Wharekirauponga to further increase the value of what we believe could be the crown jewel of the OceanaGold portfolio. At fad Wharekirauponga, we have $10 million budgeted for exploration, a significant increase to our investment there of previous years. I will now hand over the presentation to David Londono to take you through Haile.
David Londono: Okay. Thank you, Way. Good evening and good morning, everyone. Moving on to Slide 14, 2021 was a very strong year of Haile with record annual gold production and the implementation operational changes that yielded positive results. And I expect this will continue for many years to come. We have completed the high technical review, and I will spend some time today talking – working you through the physicals from the study, but also on additional opportunities that we currently looking at. This year guidance reflects the delay in the SEIS final record of decision and all the associated permits. Despite this delay, we are feeling very positive about the mine plan and are focused on delivering increased value going forward. As 2022 production profile is evenly weighted between the first and the second half. However, third and fourth quarter production is expected to be materially higher than the second and the third quarters. All-in sustaining cost is expected to correspond to quarterly sales volumes and be highest in the second and third quarters. Capital investments are also expected to be highest through second and fifth quarters. Based on the company receiving the SEIS and associated permits in the first quarter as expected, approximately $35 million to $40 million in sustaining and $30 million to $35 million in growth capital for 2022 is consistent on receiving the SEIS, with the start of spend expected in the second quarter. Moving on to Slide 15. The company now expects to receive the SEIS final record of decision and related permits in the first half of 2022. These permits relate to the expansion of the operating footprint to accommodate waste of files, increase discharge rates at the water treatment plant, as well as the development of the Haile undergrounds. Engagement with the U.S. Army Corp of Engineers and the South Carolina Department of Health and Environmental Control is strong and ongoing on a weekly basis. We have also worked closely with local stakeholders who are very supportive for what we are proposing. Although we do not see any stoppers and the process is complete as we await the final decision, we have to implement workarounds to accommodate waste and water management, which is a driving factor for the year-on-year output. And while we have to stand out – while we have had to stand out local contractors. The delayed SEIS has also led to high cost associated with the rehandling of waste and water management. Once received the final decision and permits, we expect cost to decrease and normalize over the course of the next 18 to 24 months. Moving on to Slide 16, I will spend the next few minutes on the results of the technical review. Last year, we undertook a strategic and technical review of our Haile mine with the purpose of maximizing the value of the assets. This review assess the current mine plan using updated operating and capital costs based on historic data, expected performance going forward and changes to our cost structure. On Slide 17, it is a look at our production and all-in sustaining cost profile to the end of the current mining life in 2024. As you can see the production profile is variable year-in-year out. However, my expectation is that the production profile will be less valuable as we gain additional operational flexibility with higher grade feed from the underground. The step change in production in 2024 is notable and related to operating the first full year of underground production and mining in a highway zone in the open pits. The underground reserves currently extend out to 2028. However, we do believe that there is a significant opportunity to increase underground resources and reserves, which will contribute to a higher-level output with lower costs of Haile. The technical report did factor in a higher growth rate. However, there were no significant changes to the existing reserves as there was an update to the geological model that was used, where some reserves were converted into indicated. We have optimized the mining operations with varying bench sizing and dilution factors with the addition of grade control drilling, which help offset the forecast and lower mill and recoveries. I’ll speak more to that in just a second. On Slide 18, there are the mining physical. Life of mine, the average of a pit grade is 1.58 grams per tons, while the average of the ground grade is 3.7 grams per tons. Total material mine decreases from 2021 levels over the course of the next three years related to the ongoing delay in the SEIS process and the change to selective mining, where we will concentrate on quality versus volume. As we improve upon this approach, as we move forward with later stage cutbacks under better, we expect mining rates to increase. On Slide 19, on the processing front amendable change in the new mine plan relative to the previous plan is a slight reduction in [indiscernible] rates. The reality is that we have experienced harder or than originally expected and expect that the underground ore would be even harder to mill affecting the mill throughput. As such we have assumed mill feed to about approximately 3.6 million tons to 3.8 million tons per annum. Although we are setting a realistic target to hit each year. We continue to look for opportunities to push throughput rates higher without affecting residents time, which affects recoveries. Another multiple difference in a new plan is the resetting expectations with respect to gold recoveries. We previously we believe we could achieve recovery rates in the mid-80s. This is currently achievable with a higher head grade and although the change made to the process plan healthier with the positive results. We believe life of mine average goal recoveries are realistically at 81%. Again, we will continue to look for opportunities to improve upon this. Moving on through Slide 20, unit costs. The company have previously made some aggressive assumptions somewhat it can be realistically achieving terms of unit cost and capital. The reality is that the last few years of operations have proven to be challenging in operating this minor our lower cost. This is led to factors external to the company, but also inefficiencies that we have been progressively addressing, and we continue to address going forward. The result is that we are now forecasting for units cost is based on why believe we can achieve at a minimum. Open pit mining costs over the life of the mine are expected to average around 250 per ton mines respecting that our mining unit costs with decrease overtime as we reduce costs over the next few years related to our need to underway due to the delay in the SEIS decision and from additional costs related to great control daily. As we increase mine utilization rates and reduce our maintenance costs, we will drive these costs lower, and these are already reflected in our assumptions. Beyond these changes, we will continue to seek out opportunities to operate more efficiently, which we will drive costs lower. I have a slide on this later. We're also expecting processing costs and site G&A costs to decrease progressively over the life of the mine. Processing calls will remain somewhat elevated over the next few years related mainly to water management. Once we have received the permits to be larger water treatment plan, we expect to better manager water levers after two years. The blast fragmentation improvements we implemented last year have lived to higher triple rates and increase mainly utilization, and also decreased maintenance costs, which are contributors to the higher unit cost experienced in the last few years. Moving on to Slide 21. The previous estimates on capital investments were not reflective were a higher unit costs are need to manage the amount of waste, particularly pad, potentially asset generator waste and managing water levels. The technical review results are now better aligned with our future capital needs. One of the main drivers for the highest capital requirements compared to the previous plan is sawmill operation has been conducted over the past several years. Talking about tonnage approach to Haile has resulted in a higher dilution and waste generation, including pad waste. As such we have nearly exhausted the waste storage sales. We have a required to build out additional storage, which is part of the SEIS decision we continue to wait for. We have some initiatives that we are looking at that are designed to reduce the amount of waste, we expect to generate bag waste we expect to generate, and this return should decrease our future capital requirements more on this in a few minutes. Moving on to Slide 22, we'll spend the next few slides to walk you through the opportunities that we have actually implemented or are in the process of implementing a tail, implementing a tail. Some of these opportunities such as blast fragmentation a controlled drilling of all zones only have been in the mind plan we have just released. However, there is supported upside on these initiatives and other initiatives that were not captured in the mine plan. Mining operations were previously driven by volume. With the Haile ore body being dramatically complex, we have changed the focus to ensure quality of the ore delivered to the process plan. We've be implementing an RC drilling program for great control and in the years to come for pathways classification. For this year, we plan on drilling 25,000 meters with RC raise and then ramp up this drilling up to 50,000 meters a year. We have one of our main loading equipments in a backward configuration that is more suitable to mine more selectively. This air force will be designed to reduce ore dilution and optimized pathway that were required to deposit in especially aligned waste areas. We have elected to continue mining 10-meter benches in waste areas and 5-meter to 10-meter benches for ores in areas that are on the higher levels of the pits. And as we push down on the open pits, we will reduce bench sizing in ore, transitioning from 5-meter benches to 3.3-meter benches. As a result of these changes, we're expecting a significant reduction in dilution and much higher grade both captured in the near mine plan to some extent with some upside potential. These changes should result in less waste. That is as generator generating may which decrease the capital needs. The benefit has not been captured in this current plan. Moving into Slide 23, we have implemented changes to blasting of ore zones in the open pit, push throughputs rates of the process plan, minimize block tubes in the primary crusher, decrease plant maintenance costs and increase mill utilization rates. We have realized the benefits of changing our blasting approach and this have been factored in the mining plan. We will continue to further optimize blast fragmentation in ore zones to further drive additional benefits to what I just outlined, but we will also increase mining utilization rates. One other that we have not yet implemented is optimizing blasting in waste zones, which is something that we will focus on next. In changing the blast patterns in waste zones, we expect to achieve better mine productivity as the travels will deliver more efficiency, digging and loading will allow to us to reduce whole cycles through better mine roads and pit floors. Moving on to Slide 24, I touched on this already in that mine selectivity through great control drilling as the sizing should reduce the amount of waste and bad waste generation. Over on top of this, we have gathered a significant amount of data over the past few years on the waste that we generate and the potential to generate PAG growth. We have found that there is a considerably amounts of material that have been labeled as PAG waste that have a very low probability of turning acidic. Once we have completed the SCIS program, we intend to engage the regulators to show the complete set of our data with a request to modify the current classification of the acid generating waste. Should we be successful, and the regulators grant us dis-modification, then this could result in a significant reduction of PAG waste and future capital needs. Going on to Slide 25, I will cover some of the initiatives underway or already implemented to drive improvements and efficiencies with processing. And these benefits have already been captured in the mine plan. Over on top of these benefits, we're working on how we can further the bottleneck the process plant without any major capital investment. The equipment is there, and we are focused on making it all work. This include optimizing the kinetics of the plant to drive gold recoveries higher and how we can make slight tweaks to the flow ship. Further improvements to blasting could result in pushing throughput rates and addressing some of the harder ore zones that limit the exact meal. Going on to Slide 26, the future of Haile is on the ground, over the course of the past year, we have great affiliates on the ground target, that is shown on the slide, while we wait for the SCIS final decision and the permit that allows us to build on the ground, we have proceeded with development of surface infrastructure, which we were permitted to do in anticipation of receiving the permits. The Horseshoe Underground is the first deposit with mine and major driver of future production increases. We continue to see potential for extensions to Horseshoe and recent drill has confirmed this. Once we get on the ground, we will more aggressively and extensively drill out Horseshoe as well as the one-kilometer coral between Horseshoe and Palomino testing both deposits and testing targets in between. As you can see, there is a lot of work to do ahead. However, I’m feeling very confident to deliver on the mine plan we have just released improving traditional operating efficiencies and cost reductions, and drive additional value, which we believe exists through discoveries of the underground. I will now turn the presentation back to Scott Sullivan.
Scott Sullivan: Thank you, David, and McQueen for your overviews. I’ll wrap up the webcast on Slide 27. Our team firmly believes the future of OceanaGold is very bright. We’ve implemented many initiatives over the past year to ride the ship and focus the company to regain its favorable position in the industry and we will continue to restructure and build capability in the business moving forward. We have a lot more work ahead of us. However, we have the talent and enthusiasm to do it. Including our new President and CEO, Gerard Bond, who starts in just over a month. We now have more realistic mine plans that are designed to allow us to deliver on our commitments. We have high margin growth opportunities that we’re investing in and advancing, and several operating initiatives designed to drive additional value. As I mentioned earlier, we’ll be generating positive free cash flows, which are expected to grow over the next few years. This is a great position to be in, and we are focused on delivering it I’ll now turn the call back over to Sabina.
Sabina Srubiski: Thanks so much, Scott. I’m now going to turn the call – turn over the logistics of the Q&A session to the operator. So, we can please go ahead with the Q&A.
Operator: Thank you. [Operator Instructions] And your first question will be from Adam Baker at Global Mining Research. Please go ahead.
Adam Baker: Yes. Hey, good morning, Scott and team. I appreciate the updated how mine plan has more realistic unit costs and realistic capital guidance. Just one on Horseshoe Underground. Other than the permits what else are you waiting for on the underground permits? And just checking to see you are still planning to mine that deposit from the bottom up or is this changed?
Scott Sullivan: So, we are only waiting for the permits. We have all the equipments order and we have the contractor already set. And once we start, we’re going to develop and here is the plan is to mine from the bottom up.
Adam Baker: Sure. All right. Thanks for that. And just one on the Didipio. So, you’ve got 23 million tons of stockpiles there. Just wondering, are you able to access the high-grade material first or is that all just mixed together in one large stockpile?
Scott Sullivan: David Way, you are best position to answer that one, I think.
David Way: Yes. Yes. Thanks. It has been blocked out and it is in general being able to – yes, preference medium grade over the lower grade. And obviously that’s what we do, but it was built as open pit less mine. So, it is pretty much homogenous. Yes.
Adam Baker: Yes. Sure. Makes sense. And then on Waihi, just wondering if you could walk us through the issues with the resource model there and the discrepancies that you seen between the mine grades and the resource model just in the early stokes that you’ve been seeing the grade, you are seeing these issues come through the virgin stokes or are you seeing the grade issues more within the stokes around the old workings? Thanks.
David Londono: Might flick to Craig on that one, Craig Feebrey?
Craig Feebrey: Thanks, Dave. Thanks, Adam for the question. The variability really boils down the geological complexity and grade variability. We're seeing it both in the second order structures and these include unmined veins. And still early days, we're still trying to increase throughput and to understand to variability in the different parts of the mine. But to your question, we’ve seeing it in different places. And it's really the geological complexity in second order veins and short-range variability.
Adam Baker: Okay, it just sounds like a bit more – yes, it sounds like a bit more resource definition drilling needed to just bring up the model, I guess. Thanks guys. I'll pass it on.
Scott Sullivan: Thanks, Adam.
Operator: Thank you. [Operator Instructions] And your next question will be from Mike Parkin at National Bank. Please go ahead.
Mike Parkin: Hey guys. Thanks for taking my question. Just a quick question on the Haile cease permit. I noticed you are guiding to receive it in the first half of this year, but back on February 9th, you were indicating just it's expected in the first quarter. And is there any sign, a slippage on that, which is why you’ve kind of have extended the window of when you expect it?
Sam Pazuki: So, this is very long island. What we've seen is that we have all the information that the government DSCIS acquires and they're analyzing, reviewing everything. They made a couple comments that we are responding right now, but we don't see a slippage further than the first half.
Mike Parkin: Great. And does that additional quarter that came in Q2, does that give you any kind of hiccups in the first half relative to what you've guided to?
Sam Pazuki: No, 2022 my plan is say it doesn't have any impact and we've been managing water much better. And also now, so we don't see any hiccups into 2023 mine plan.
Mike Parkin: Okay. That's it for me guys. Thanks.
Operator: Thank you. [Operator Instructions]
Sabina Srubiski: Yes, this is Sabina here. And I see that we have a question. Can the ASIC be further reduced at Haile? I'm going to let David Londono answer that.
David Londono: So, the question, can we…
Sabina Srubiski: Can we further reduce the ASIC at Haile?
David Londono: Yes, we're looking for more opportunities to reduce that, particularly improving our productivity in moving our waste. We have a high stripping ratio on sites, so we need to become much better at moving our waste. And we are going to achieve that by improving the blast fragmentation. And by improving that we can, at some point in time, even park equipment, which will reduce field consumption, maintenance, component replacement, et cetera. So, that’s one way. And then also we are looking into how we sign up contracts we’re using that contractor costs reducing our contractors or on site that we use and making sure that we improve our maintenance planning and that we become better. Right now we need to tune around our maintenance practices and that will definitely reduce our costs, which obviously will improve our all-in sustaining cost.
Sabina Srubiski: All right. Thank you very much, David. We've got another question in the queue. What gets you excited about – and I'm going to apologize, I can't quite pronounce it yet, the WKP prospect? Craig or David, please answer. Craig?
Craig Feebrey: Look obviously from a value driver for the company, it's key and New Zealand. And so, with the addition of jobs longer life socioeconomic benefits, the offsets that can be done, from environmental, biodiversity, water perspective, it's going to be a fantastic opportunity for not only the company, but the country to demonstrate how much value can be brought about by responsible mining. And obviously it's one of the, at this stage most positively in that, gold deposits, that has been discovered in recent times. So very excited, Craig, I don't know if you want to add to that.
Craig Feebrey: Just on the geology side, David I think worth mentioning, and probably the audience is familiar with some of the, the plans were put in previous press releases, but there are three main structures that strike or the EG vein is now striking over a kilometer. It has extremely good widths and very good grades, commonly just called Bonanza veins. And we've been focused on just one of the shoots within the EG vein and the hanging and footwall displays. There's still a lot more to explore within the EG vein. And then we also have economic widths and grades in both T-stream and the Western vein. So, all things considered, there's still a lot of exploration to go there. And we're really only at the beginning of defining the true value. Thanks, Sabina.
Sabina Srubiski: You have commented that the future of Haile’s underground. What gets you excited about this opportunity, Craig or David, please answer?
David Londono: I let Craig answer that question.
Craig Feebrey: Thanks again, Sabina. So, with the Haile Underground, when we bought the opportunity of Haile, we did realize there were underground opportunities and Horseshoe was the first one that we thought was the most compelling, obviously 2016, 2017. We did a drill program to show that Horseshoe is economic, and we still have ways to go. There's still a significant portion of inferred to convert in the lower portions of Horseshoe. Since then, we've defined several other targets, including Palomino, the Horseshoe extension, and some other early-stage targets, Aquarius and Pisces. Several of those have drill holes in them already. 2021, we spent drilling and converting the upper portion of Palomino. And in 2022, the aim is to continue that, to get all of Palomino into indicator. Currently we have a pipeline of projects, which we feel will continue to create value at Haile in the underground.
Sabina Srubiski: And we've got one more; we've been asked if we can please clarify the opportunities that we've laid out, clarify if the opportunities we've laid out Haile are opportunities above and beyond what was included in the, work we already released in the study David Londono, please?
David Londono: Yes, there are additional opportunities like I mentioned, improving plastic on the waste material and the big one for us is the reduction on pathways. And how do we achieve that reduction? We achieve that reduction in two different ways. The first one is being more selective and better sampling on the waste material. And if we can decide that is green material, then we can put it in closer there, waste dumps and then will reduce the amount of, let's say potentially oxygenated waste that we have to move farther to more farther areas. But at the same time, if we achieve what we expect to achieve with the government that we change, the classification of some of that waste into from yellow to green, then we definitely won't need additional pathways storage areas in the future.
Sabina Srubiski: Thank you so much, David. Operator, are there any more questions in the queue?
Operator: [Operator Instructions] And currently we have no questions registered.
Sabina Srubiski: Thank you very much. Thank you everyone for joining us today. That concludes our webcast and conference calls. Our replay will be available on our website later today. On behalf of the management team in OceanaGold, I appreciate you joining us today and wish you a pleasant rest of the day. Bye for now.
Operator: Thank you. Ladies and gentlemen, this does indeed conclude your conference call webcast for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.